Operator: Good day, and welcome to the Angel Oak mortgage REIT Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. KC Kelleher. Please go ahead.
KC Kelleher: Good morning. Thank you for joining us today for Angel Oak Mortgage REIT's Fourth Quarter and Full Year 2024 Earnings Conference Call. This morning, we filed our press release detailing these results, which is available in the Investors section of our website at www.angeloakreit.com. As a reminder, remarks made on today's conference call may include forward-looking statements. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. We do not undertake any obligation to update our forward-looking statements in light of new information or future events. For a more detailed discussion of the factors that may affect the company's results, please refer to our earnings release for this quarter and to our most recent SEC filings. During this call, we will be discussing certain non-GAAP financial measures. More information about these non-GAAP financial measures and reconciliations to the most directly comparable GAAP financial measures are contained in our earnings release and SEC filings. This morning's conference call is hosted by Angel Oak Mortgage REIT's Chief Executive Officer, Sreeni Prabhu, Chief Financial Officer, Brandon Filson and Angel Oak Capital's Co-CIO, Namit Sinha. Management will make some prepared comments, after which we will open up the call to your questions. Additionally, we recommend reviewing our earnings supplement posted on our website, www.angeloakreit.com. Now I will turn the call over to Sreeni.
Sreeniwas Prabhu: Thank you, KC, and thank you all for joining us today. We closed out 2024 with another quarter of net interest margin expansion reflecting solid financial and operational performance. Our continued progress, increasing cash flow and dividend coverage is a direct result of company's disciplined execution of a proven and repeatable management model designed to drive consistent, sustainable growth. Our focus remains on prioritizing long-term earnings accretion methodical decision-making, managing risk and creating value for our shareholders. With this commitment, we have continued to perform in line with our growth expectations quarter after quarter throughout 2024. Unfortunately, rates were not kind to our portfolio valuation during Q4, and we saw a decline in book value during the quarter. Interest rate levels and volatility are a key driver to a valuation of our portfolio and change according to latest macroeconomic data points. So we may continue to experience these ups and downs from a valuation perspective as long as the rate path remain uncertain. The advancements we have made in the past year continue to underscore the strength of our differentiated operating model. At its core, is prudent risk management and efficient capital recycling with credit selection serving as a key competitive advantage. We have continued to deliver sequential improvements driven by intelligent loan portfolio management, a consistent securitization strategy and disciplined execution. In 2024, we completed 5 securitization exceeding our target of one per quarter, which in turn enhance our capital flexibility, increased portfolio yield and fund further loan portfolio growth. The long-term backdrop of our business remains constructive, and we are encouraged by our portfolio's trajectory. Interest rates appear to have moderated from their peak in December though further rate cuts seem more elusive now than they were in the prior quarter. We have not seen consistent momentum in one direction or other in terms of mortgage rates. We observed increased activity along with improved execution and securitization in 2024, particularly in the non-QM space. This drove tightening spreads throughout the year as well. We view the current environment as active and deep offering up ample opportunities to recycle capital and continue growing our target asset portfolio. Our capital deployment strategy will remain adaptive and flexible aligning with evolving market dynamics in order to maximize returns. Regarding raising capital, our approach remains to raise funds opportunistically and when it provides additional earnings. This allows us to maintain flexibility and ensure that the investment decisions are accretive and value-driven over near term and long term. We demonstrated the success of this approach with our senior unsecured note issuance this year, which was accretive to earnings within one quarter of issuance and continues to add to net interest margin with further loan purchases and securitization activity. As we move forward, our focus remains on continuing to execute against our earnings generation model, and delivering positive outcomes for our shareholders while positioning our balance sheet to capitalize on emerging accretive opportunities as they arise. With that, I'll turn it over to Brandon who will walk us through our fourth quarter and full year financial performance in greater detail.
Brandon Filson: Thank you, Sreeni. Fourth quarter operating results followed expectations and the positive trend established throughout the year as we saw a 9% net interest income growth versus the third quarter. accompanied by the maintenance of reduced operating expense levels and supported by active loan purchasing and securitization activity. As Sreeni, mentioned, rates sold off and spreads widened which were a headwind for portfolio valuation during the fourth quarter. The valuation decrease was almost exclusively driven by unrealized losses in our securitized loan portfolio. And I'll point out that the loans in our securitized loan portfolio continue to perform well and that these unrealized losses will be recouped as the loans pay off and/or rates and spreads decline. For the fourth quarter of 2024, we had a GAAP net loss of $15 million or $0.65 per common share. For the full year, we had GAAP net income of $28.8 million or $1.17 per diluted common share. Distributable earnings for the fourth quarter were $9.9 million or $0.42 per diluted common share. As mentioned previously, the driver of the difference between GAAP net income and distributable earnings is a removal of unrealized gains and losses, primarily on our securitized -- on securitized loan portfolios. In the fourth quarter, we had $24.4 million of unrealized losses on our residential and securitized loan portfolios. For the full year, distributable earnings were $7 million. The difference between GAAP net income and distributable earnings was driven by the removal of $21.9 million of unrealized gains on our residential and securitized loan portfolios. Interest income for the fourth quarter was $31.9 million, and net interest income was $9.9 million, which marked a 30% improvement in interest income and a 20% improvement in net interest income compared to the fourth quarter of 2023. Compared to the third quarter of 2024, interest income increased by 16% and net interest income increased by 9%. For the full year, interest income was $110.4 million and net interest income was $36.9 million, which marks an improvement of 15% and 28%, respectively, compared to 2023. We expect interest income to continue to grow as we purchase accretive loans, employee sound portfolio management and leverage effective securitization execution. Our $684 million of loan purchases this year carried a weighted average coupon of 7.64%, a weighted average loan-to-value ratio of 70.2% and a weighted average FICO score of 749. The weighted average coupon of our residential whole loan portfolio as of the end of the year was 7.39%, representing an increase of 61 basis points since the end of 2023. Including loans purchased subsequent to the end of 2024, our weighted average coupon is approximately 7.5%. We were pleased to have executed 5 securitizations over the course of the year, outpacing our stated goal of 1 securitization per quarter through a combination of both stand-alone and co-mingled deals. In total, we securitized $855 million and scheduled unpaid principal balance across these 5 securitizations. In the fourth quarter, we completed AOMT-24-10 as the sole contributor, contributing a balance of $316.8 million in loans. Additionally, near the end of the year, we closed AOMT-2024-13, which was a $289 million securitization to which we contributed $167 million in loans. As of the end of the year, our securitized loan portfolio carried a weighted average coupon rate of 5.6% with a weighted average funding cost of approximately 4%.  The securitization market remains active and receptive with tight spreads, and we plan to continue to access it via our methodical securitization strategy. Operating expenses for the fourth quarter were $5.5 million. Excluding noncash stock compensation expenses and securitization costs, fourth quarter operating expenses were $3.1 million, this represents a 16% decrease compared to the same metric in the fourth quarter of 2023. For the full year, operating expenses were $19.4 million or $13.6 million excluding noncash stock compensation expenses and securitization costs. This demonstrates approximately 14% decrease in expenses compared to the prior year. Looking at our balance sheet as of December 31, we had $40.8 million in cash, and our recourse debt-to-equity ratio was 1x at the end of the year. GAAP book value per share decreased 9.8% to $10.17 as of December 31, 2024, down from $11.28 as of September 30, 2024, and nearly flat year-over-year. Economic book value, which fair values all non-recourse securitization obligations was $13.10 per share as of December 31, 2024, down from 6.6% from $14.02 per share as of September 30, 2024, and down 3.3% versus December 31, 2023. The decline in book value was driven primarily by the aforementioned unrealized losses on our securitized and unsecuritized portfolio as a result of interest rate and spread movements toward the end of the year. We note that the loans in our securitized loan portfolio continue to perform well and that these unrealized losses will be recouped as these loans pay off and rates or spreads decline. We ended the year with residential whole loans at fair value of $183.1 million financed with $129.5 million of warehouse debt. $1.7 billion of residential mortgage loans and securitization trust and $321 million of RMBS, including $20.7 million of investments in co-mingled securitization entities, which are included in other assets on our balance sheet. We finished the year with undrawn loan financing capacity of approximately $920 million. Now looking at credit, we ended the year with the total portfolio weighted average percentage of loans, 90 days plus delinquent at 2.4%, inclusive of our residential loan, securitized loan and RMBS portfolios, an increase from 1.85% as of the end of the third quarter of this year. As we stated previously, we expect this type of nominal increase and believe it is indicative of a return to normalized historical levels. We continue to expect that our portfolio-wide low LTV, tight underwriting standards and inherent credit selection to mitigate losses throughout a cycle if credit becomes an issue. 3-month prepay speeds for our RMBS and securitized loan portfolios were 8.4% to end the year, marking a 10 basis point decrease compared to the third quarter. As borrowing rates remain steady, we do not expect prepay speeds to exhibit any meaningful increases on the 2021 to '23 securitizations. If rates do fall, increasing prepay speeds are securitized loan and RMBS portfolios are weighted towards loans that are still well below current rates, reducing or eliminating a homeowners incentive to refinance a non-QM is historically prepaid at 25 to 20 CPR. Lastly, we do have the ability to use capital to re-securitize and relever securitizations, which will increase the effective yield. On a more somber note, our thoughts and prayers go out to all those impacted by the California wildfires that started in January 2025. We hope that those individuals and their families are able to return to a sense of normalcy soon. As it relates to our portfolio, our exposure was fortunately very small due to our lower exposure to the California mortgage market. We have completed a full set of collateral inspections of all loans in the affected areas and one loan in our securitized loan portfolio appears to have been damaged. As a reminder, we require property insurance on all of our loans, which we expect to substantially mitigate or eliminate entirely our financial losses. Finally, as previously communicated, the company declared a $0.32 per share common dividend, which was paid on February 28, 2025. For additional color on our financial results, please review the earnings supplement available on our website. I will now turn it back to Sreeni for closing remarks.
Sreeniwas Prabhu: I would like to thank the entire Angel Oak team for their hard work and contributions over the last year as we seek to build long-term value for our shareholders. With that, we'll open up the call to your questions. Operator?
Operator: [Operator Instructions] The first question comes from Matthew Erdner with JonesTrading.
Matthew Erdner: Brandon, thanks for touching on the prepayments there. But I kind of have a follow-up to that. It looks like we're shifting into a new environment and rates are heading lower. How insulated are those '21 to '23 vintages? And where do you think rates would kind of need to go to trigger significant prepayments there?
Brandon Filson: Those 8 CPR, as I mentioned in the prepared remarks, I mean we -- historically, we expect 20 to 25 CPR in a kind of a stable, normalized environment. At '21 to '23 vintage, those weighted average coupons are in the 5% range, 5%, 5.25%, somewhere around there. So we think that real rates and mortgage rates would have to decline pretty significant amount as new productions in the mid-7s, mid- to high 7s. We'd probably be looking at 150, 200 basis points of move in that rate before someone might decide to cash out some equity or refinance. So I think they're pretty well insulated. I do expect over time, as you mentioned, they will go up. They won't stay at 8 forever. But I don't really see at least right now a period where they're going to be certainly any more elevated than what we model when we go into a securitization.
Matthew Erdner: I appreciate the color. And then as you kind of look to relever some of these down the road, generate that additional yield, how much incremental yield are you guys kind of expecting to get from those kind of re-securitization.
Brandon Filson: I think it depends a lot on which actual securitizations you're talking about. If you're talking about our pre-IPO securitizations we had, so we call it the 2019 vintages out there, those securitizations have delevered. The weighted average coupon, of those loans now are in the high 6s. So we're not -- we don't necessarily have too much leverage on them. So call it an 8% levered yield remaining on those deals. If we call them and either resecuritize or flip collateral into new collateral, we'll lever that back up to the 12% or so during the whole loan aggregation phase and 15% with the securitized once securitized.
Matthew Erdner: And then I apologize if I missed it, but did you provide book value quarter-to-date?
Brandon Filson: Yes. We didn't provide it at the time, we wanted to get the most up-to-date information, but it's looking like as of February 28, or you can call it as of today, we'll be looking up excluding the dividend just over 6% and then net of the dividend about 3% up.
Matthew Erdner: From that 14 or 13, 10 level?
Brandon Filson: Right, as of December 31.
Operator: The next question comes from Don Fandetti with Wells Fargo.
Donald Fandetti: Brandon, can you talk a little bit about the pluses and minuses for, thinking about NII in terms of the next quarter? And then I assume you feel like the pipeline is strong enough to where you can just continue to grow NII each quarter as we progress through '25. Is that a fair assumption?
Brandon Filson: Yes, that's right. I think that we've obviously made some pretty big progress on NII over the last year going up to where if you look at it, from like a cash use basis. I think the fourth quarter, we're somewhere around 90% covered on the dividend. If you look just at the end of the year, we are respectively covered on the dividend. I think that's going to continue to increase over the next several quarters as we -- we're always working on another securitization. We have one that we're looking at now that will happen hopefully by the -- into the first quarter, if not into Q1 or into Q2. That will obviously then free up a bunch more capital that we can put into additional loan purchases. The pipeline from our mortgage company continues to be strong. we have kind of as much product as we want to buy at the pace we want to buy and rates are still holding at like I said, high 7s, mid-7% range. So we're pretty confident that NII will continue to grow throughout '25.
Donald Fandetti: And then as you look at the new administration and you think about non-QM and what might happen with the GSEs, how are you feeling about the non-QM market as you look out over the next few years, just given potential changes on the regulatory side?
Brandon Filson: I think if we look at maybe what Trump was trying to do in his first term and think about what he might try to do in the second term, I think it could be positive for non-QM in terms of shaking loose some loans that used to be sitting with the GSEs and moving them out into non-QM or creating a little bit more of a market. But obviously, that's going to be a fluid and could -- much like the first term, nothing really ever happened with that or the way this one is going so far, maybe tomorrow, everything could change. But I think in general, I would be willing to bet that non-QM would be expanding if anything is done this term.
Operator: The next question comes from Eric Hagen with BTIG.
Eric Hagen: Good to hear from you guys. So when we look at accretive opportunities that you guys mentioned in the opening remarks, can you remind us if you consider the GAAP book value or the economic book value is the more relevant benchmark? And then with respect to completing incremental securitization deals, could you ever consider taking the cash that gets released from completing a deal and repurchase your stock at these valuation? Or even whether you see like the unsecured market as a possible source of cash for repurchasing stock as well?
Brandon Filson: so I'll take the last. I mean, looking at senior unsecured market, obviously, I think we've shown that it can be accretive to us from our July issuance. It's something we continue to look at and monitor. I think that market is open and available for us when we choose -- if we choose to use it. I wouldn't necessarily, at this point, be very keen on buying back too much stock just because it's -- our equity base, I'd like to build over time. And if you look at just a repurchase profile, incremental capital dollars in right now are earning 15% to 20% return on equity versus our dividend yield today sitting around 13%. So it's -- it doesn't necessarily make too much sense other than a book value perspective, which I think over this year, obviously, we hit a little bit of a bump in Q4. The road map is really going to be over this year to look more like Q3 of '24 that had a decent increase in book value as either again, prepayments continue to come in on some of those earlier deals or rates and spreads tighten up, which didn't happen, obviously, in Q4. And the first one, when we look at GAAP and economic book value, that's again another complicated question because we believe that economic book value is a real metric that is important to the company. However, if you look at it, there's really 2 ways that GAAP and economic book are going to converge together, which is going to both will take some time. Either rates decreasing pretty dramatically. I mean at the limit, it would be something back to 2021 level of effectively 0 or prepayments have to come in on those loans or underlying those securitizations as well, which with an 8% CPR, as we discussed earlier, it's probably not going to happen for a while. So as we look at accretive opportunities, we start to trend more toward GAAP book value thinking as we get to a premium over that or thinking about that level versus economic book.
Eric Hagen: Good explanation, I appreciate that. Shifting over to the portfolio. I mean, what do you guys consider a normalized level of delinquencies? Or what are your -- maybe what are your expectations looking out over the next year? And do you feel like the mark-to-market -- or how do you feel like the mark-to-market will respond to any pickup in delinquencies?
Brandon Filson: Yes. I think the 1.8% we had before this quarter was kind of a low point. If you look at our trend lines going back we're trending back towards a more normalized level of 2% to 3%, 90-day delinquencies in our loan book. And also, our loan -- some of our securitized loans from IPO are now starting to get more age. So they're kind of self-selecting as well based on paydowns and whatnot. So we're right in that range. We haven't seen any kind of overheating of delinquencies, trickling in. But yes, that's -- like I said, I think we're right in the sweet spot of where I think it's a healthy level and we've continued to move up credit kind of every quarter, again, contemplating that there's going to be -- if we get in a period that hasn't happened really since 2007, 2008 of credit stress, we're not going to -- we're trying to build in that protection on the new production as well.
Eric Hagen: Okay. So it's safe to say that non-QM valuations embed, maybe some increase in delinquencies from here, but not a material increase. Is that kind of fair?
Brandon Filson: That's right.
Operator: [Operator Instructions] The next question comes from Jason Stewart with Janney.
Jason Stewart: Just a follow-up on KC question. I mean, obviously, from a FICO and LTV standpoint, the credit quality of the originations look very strong. Was there anything in the fourth quarter performance from a vintage standpoint, where you saw transition or roll rates deteriorate? And then maybe if you could just give us a thought on where that's performing quarter-to-date in 2025 and 1Q, just taking seasonality into account.
Brandon Filson: Yes, we haven't -- again, I think we haven't really seen a trend on a particular vintage doing too much difference other than I think you would expect in a period where there's a little bit of economic stress, your latter loans are going to have a little bit more of an uptick in delinquencies again because that borrower is just not quite as invested in that property. So we do see a slight difference in '24 loans -- '24 originated loans versus earlier vintages, excluding the COVID loans, which still have some forbearance on things on a few of them. But nothing again, that's too much. They're kind of more in the 2.5% range. And then -- sorry, I forgot the second part of your question.
Jason Stewart: I was just curious how the seasonality impacted that and maybe what you're seeing in terms of a reversal of the increase in delinquency so far in 2025.
Brandon Filson: Yes. Okay. Yes, we have seen a little bit more payments come in, not quite 2.4% today, we're about 10 basis points down on that level as of the latest information, which gets us a little bit delayed because of just the reporting. But effectively, as of January, full January payments we took about 10 basis points back of that delinquency level.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brandon Filson for any closing remarks.
Brandon Filson: Thank you, everyone, for your time and interest in Angel Oak Mortgage REIT. We look forward to connecting with you again next quarter. In the meantime, if you have any questions, please feel free to reach out to us. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.